Operator: Welcome to The North West Company, Inc. Third Quarter Results Conference Call. I would now like to turn the meeting over to Mr. Dan McConnell, President, Chief Executive Officer. Mr. McConnell, please go ahead.
Daniel McConnell: Hi, thank you and good morning. Welcome to the North West Company third quarter conference call. I'm joined here today by John King, our Chief Financial Officer; and Alexis Cloutier, our VP of Legal and Corporate Services. I am going to start the meeting by asking Alexis to read our disclosure statement.
Alexis Cloutier: Thank you, Dan. Before we begin today, I remind you that certain information presented may constitute forward-looking statements. Such statements reflect North West's current expectations, estimates, projections, and assumptions. These forward-looking statements are not guaranteed of future performance and are subject to certain risks, which could cause actual performance and financial results in the future to vary materially from those contemplated in the forward-looking statements. Any forward-looking statements are current only as of the date they are made, and the company disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future results, or otherwise, other than what's required by law. For additional information on these risks, please see North West's annual information form and its MD&A under the heading Risk Factors.
Daniel McConnell: Okay, Thanks, Alexis. I'll begin by providing a brief overview of this quarter's results. I'll then provide some additional colour on sales, starting with Canadian and then international operations before making some comments on the key factors impacting our consolidated gross profit and expenses. Finally, I'll wrap up with a few comments on our outlook in the Next 100 program before we opening up the call for some questions. All right, so let's get into it. To set some context for our third quarter results, it is important to keep in mind that we are comping against a very strong Q3 last year, which had a 5.1% increase in sales and a 26.1% increase in net earnings. Our third quarter results this year were driven by top line growth on consolidated sales of 3.3% and an increase in gross profit, which was up 4.3% for the quarter, resulting from the impact of higher sales and a 30 basis point increase in the gross profit rate, mainly related to changes in the sales blend. These sales and gross profit results did not fully translate to the bottom line due to the following factors. First, our selling, operating and administrative expenses increased $10.4 million or 7%, largely due to higher staff costs related to inflationary and minimum wage increases, additional resources required to execute our Next 100 operational excellence work, and an increase in depreciation and the impact of new stores. And second, the impact of a [103] (ph) basis point increase in the effective tax rates substantially due to the implementation of the Global Minimum Tax Act, which came into effect earlier this year. Our top-line performance contributed to a 1.4% increase in adjusted EBITDA, but the overall net impact of the factors I just mentioned resulted in a 4.3% decrease in net earnings compared to the impressive net earnings increase of 26.1% in the third quarter last year. Within this context, I will unpack the results beginning with our Canadian operations. Sales in Canada were up 4% for the quarter and increased to 4.9% on a same store basis. We had solid sales performance in both food and general merchandise, with same store sales increases of 4.8% in food and 5.3% in GM, which were on top of very strong same store sales gains in Q3 last year of 9% in food and 16% in general merchandise. Sales continue to be positively impacted by increased consumer demand in certain communities resulting from the claim settlement payments and government program spending. This includes the distribution of First Nations drinking water and claim settlements, payments to individuals which have been slower than anticipated and are expected to continue throughout the remainder of this year and into 2025. Increased consumer demand from government spending on First Nations Child and Family Service programs, including Jordan's Principle and Inuit Child First programs that help provide greater access to nutritious foods. These factors were partially offset by the impact of government inflation relief payments paid to individuals to help mitigate higher cost of living in 2023, which contributed to a 10.1% increase in same-store sales in the third quarter last year. The same-store sales gains in the quarter this year were partially offset by lower airline revenues and wholesale food sales. From an earnings perspective, the impact of top line performance and an increase in gross profit did not fully translate to the bottom line, primarily due to three factors. First, as I previously mentioned, selling, operating and administrative expenses were up in the quarter due to higher staff costs resulting from inflationary and minimum wage increases and increase in depreciation and the impact of new stores. Second, we invested in additional staff resources required to execute our Next 100 operational excellence work. This investment and additional resources is required to unlock the future growth and deliver an incremental EBIT expected from our Next 100 initiatives. And finally, the other drag on earnings in the quarter was the impact of softer earnings in North Star Air and lower earnings from our investment in Transport Nanuk, which partially offset what would have otherwise been a solid earnings gains in the third quarter. Both NSA and Transport Nanuk were up against a very strong quarter last year and were impacted by higher maintenance costs and in the case of Transport Nanuk, delays in the sea lift shipping season and lower international shipping rates. On a positive note, despite the shipping delays, we were able to receive all the sea lift merchandise in our markets. And then impact of all these three factors was a 2.2% increase in EBITDA and a slight increase in EBIT compared to last year. Moving onto our international operations, we did see an improvement in sales, but the top line gains did not translate into an increase in earnings due to higher expenses. International sales increased 2.3% in total driven by same store sales increases of 2.4% in food and 5.2% in general merchandise. The increase in general merchandise sales is an improvement in the trend over previous quarters, this year and the third quarter last year. Sales were positively impacted by better economic conditions in certain Caribbean markets, largely driven by the tourism season which is off to a positive start. In Alaska, the permanent fund dividend increased to $1,700 this year compared to $1,300 last year, which had a positive effect on our AC sales, particularly in general merchandise. These same store sales results were partially offset by lower wholesale sales and weaker economic conditions in Alaska related to commercial fishing. From an earnings perspective, the impact of sales gains and an increase in gross profit did not translate to the bottom line due to higher expenses, primarily related to staff costs and additional resources to support our Next 100 work. These factors resulted in a 2.3% decrease in adjusted EBITDA and an 11.6% decrease in EBIT. With those comments on the key factors impacting our results in the third quarter, I'll now briefly talk to you about our outlook and provide a few comments on the Next 100 programs. The macroeconomic view is consistent with what we have highlighted previously in 2024. There continues to be economic uncertainty, particularly in our international operations and tourism-dependent markets and countries that do not have strong government income support programs for individuals. There is also uncertainty surrounding potential changes in U.S. government policy regarding tariffs and the resulting impact of the economic environment in the countries in which we operate. In Canada, we expect consumer demand in the fourth quarter and into 2025 to continue to be positively impacted by the distribution of First Nations drinking water settlement payments and government spending on First Nations Child and Family Service programs, including Jordan's Principle, and the Inuit Child First programs. As highlighted in previous calls, we continue to focus on driving operational excellence and delivering further value for our customers, our employees, and our shareholders through our Next 100 work, while building capabilities to capture future business and market opportunities. The Next 100 work is expected to drive annualized incremental EBIT, which will begin to ramp up in 2025 as each of the initiatives reach maturity. As we lay the groundwork for these improvements, we have invested in additional resources to support the execution of our Next 100 program. In addition to this investment in resources, we also anticipate one-time costs for professional fees and other expenses in the fourth quarter and into 2025 as each of the initiatives is operationalized. Our expectation is that the annualized incremental EBIT from these initiatives will offset the investment in additional resources and one-time costs. However, there will be timing differences as these costs will be incurred prior to achieving the full annualized benefits. We'll provide further information on these one-time costs in our quarterly reports. Finally, I'll wrap up by saying that our Next 100 work and our efforts every day are underpinned by our commitment to making a positive impact in the communities that we serve and providing our customers with the products and services that they need. With that, I will now open it up for any questions.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] The first question will be from Michael van Aelst from TD Cowen. Please go ahead.
Michael van Aelst: Hi, good morning. First off, I'd like to ask you about the OpEx growth in Canada. I know you talked about the Next 100, but that OpEx growth has been elevated for much of the past seven quarters I would say. But this is the first time you've called out the Next 100 that I can see in your press releases. So when did that spending increase actually start related to the Next 100 and what -- and can you give us a little bit more color as to the timing as when we switch over to seeing the benefits?
Daniel McConnell: Well, it has been a ramp up Michael, so we've been building capability within the organization in order to identify and develop plan to execute different initiatives that I've outlined in the Next 100 program or the last number of quarters. So yes, it has been a ramp up and the benefits, as I indicated, are going to be into 2025, 2026 and beyond. So it's sustainable -- it's sustainable incremental EBIT that we're looking to generate and this is simply the ramp up program that's been a necessity in order to get us there. So that's -- yes, that's pretty much what I can tell you right now. We're expecting it 2025 and beyond.
Michael van Aelst: Okay. And when did the spending start to ramp up though? Is it just in this year or was it last year as well?
Daniel McConnell: I would say last year, like we -- I think I announced this that we were starting to work on this last year and we started to build the plans and therefore starting to gradually build up the resources required to develop and finalize some of the planning work that we were -- there were now in the execution motive.
Michael van Aelst: Okay. All right. And then on the Canadian gross margin, it looked like it was about 100 basis points lower than I would have thought, given usual seasonality. Is that just tied to the higher maintenance costs at NSA and as well as on the sea lifts or is there something else happening?
Daniel McConnell: No, it's a shift in mix and really what is what -- it comes down to?
Michael van Aelst: Okay. And can you give us a little more color then on that shift in mix?
Daniel McConnell: Sure. Well, as we basically -- we've moved over those -- you see our general merchandise sales are down compared to last year, particularly in the Canadian division. And we had a -- well, they're [not down] (ph), but they're down on the trajectory. Last year we had about 16% increase, this year they were down to, I believe it was 7%. And so that's -- that's obviously a bit of a drain on the gross profit rate.
Michael van Aelst: Okay. I'll follow up after on that one. And then just a quick one for John. Can you just comment on the jump in interest and depreciation in Q3 versus Q2, versus the run rate in the first half of the year and what we should be expecting going forward for those lines?
John King: I don't think anything really stands out Mike on either one of those lines other than they are up and they have been trending up. I think that would be -- I think that trend that we're seeing now, we are going to be on a higher run rate on depreciation. As I outlook over the next, I would say, 18 months. So that trend has been going up and I think where we're at now is, that trend will continue. [indiscernible] where we're at.
Michael van Aelst: Okay. So it will continue roughly where we're at now or continue to increase?
John King: Yes.
Michael van Aelst: Okay. And is that…
John King: No, continuing where we're at now. Not on an upward trend, but where we're at now.
Michael van Aelst: Okay. And is that tied to the Next 100 investments as well?
John King: No, that's not directly right now. We will talk about that further as we get into the Next 100 program to the extent that there is any CapEx related to that. It's just related to the assets -- the capital assets and spending that we have now. We have had some -- also had some IT spending, not directly related to the Next 100, that is driving some of that increase but not something that is overly material or a change in direction. It all just contributes to that number.
Michael van Aelst: Okay. And the jump in the interest, did you have a change in your rates or is there anything else that would explain it?
John King: No material change in rates. Just the timing of -- the combination of average debt levels and average interest rates, nothing else material there.
Michael van Aelst: Okay. All right. Thank you.
Operator: Thank you. The Next question will be from Stephen MacLeod, BMO Capital Markets. Please go ahead.
Stephen MacLeod: Thank you. Good morning, guys. Just wanted to follow-up on a couple of things. Just with respect to the Canadian business, do you feel like you have a better visibility into the payments of the drinking water settlements coming through? Or is there still sort of uncertainty around the timing on those payments?
Daniel McConnell: Unfortunately, we don't have any more insight. It still continues to be a, call it a trickle, and it's pretty volatile as to how it comes in. So we don't have any more insight, lack of our efforts to try and get more on top of it. It's just -- the information is just not available.
Stephen MacLeod: Okay, I see. So is it –
Daniel McConnell: So we anticipated having a longer -- sorry, Stephen. I was just going to say, so we anticipated having a longer tailwind though. I mean, as a result, it's kind of stretching out over a longer period of time. We anticipate it going into 2025. And yes, that's all we can really say right now.
Stephen MacLeod: Okay, okay, I see. That's helpful. I guess maybe like dove tailing from that, would you expect sales to accelerate into Q4 based on your commentary in the outlook with respect to kind of some of those payments continuing in Q4?
Daniel McConnell: No, we're not at -- I don't believe that we're going to have an acceleration of sales in Q4. I think it's going be along the same trajectory that we're on right now.
Stephen MacLeod: Okay, okay, that's helpful. Thanks, Dan. And then just with respect to the PFD, higher year over year and that positively impacted the international business. Would you expect that to continue into Q4? Is that typically spent like in the Q3 period?
Daniel McConnell: The way it fell, I believe a lot of it was spent in the Q3 period this year.
Stephen MacLeod: Okay. That's great. And then just coming back to the Next 100 plan. I mean, I know you haven't given sort of guidance in the past around what it could mean from an EBITDA perspective or an EBIT perspective. But just wondering if you're able to give a little bit of colour on sort of how you expect once you begin to see the benefits from the Next 100 plan, like how you expect that to impact margins maybe into 2025 or 2026. Or if not today, when you might be able to share those kinds of insights.
Daniel McConnell: Certainly, I think -- I'm anticipating that we'll be able to share it within the next two quarters. So that's -- really the anticipation was when we realize and we start to spend the one-time expense, then we'll give you a justification as to what the impact that's going to be moving forward. Okay, okay, that's great. Thanks, Dan. I'll hop back in line.
Daniel McConnell: So, yes -- I know that it's so anticipated. First or second quarter next year, Stephen.
Stephen MacLeod: Okay, that's helpful. Great. Thank you.
Operator: Thank you. [Operator Instructions] The next question will be from Sarah Smellie, The Canadian Press. Please go ahead.
Sarah Smellie: Hi there. My question is for Mr. McConnell. A study from the Toronto Metropolitan University last year found that companies receiving the Nutrition North subsidies were passing on just $0.67 cents on the dollar to their customers, North West Company included. As well, the Nunavut government is investigating whether stores, including those owned by the North West Company, have been hiking prices when federal money from programs like Jordan's Principle rolls in. I wonder, is your company keeping part of the Nutrition North subsidies that it receives? And are your stores hiking prices when government money rolls into the communities they serve?
Daniel McConnell: Okay. Well, thanks for your question. I can tell you that absolutely not. We're passing on 100% of the subsidy and there's been a number of audits that have been done by Nutrition North and other firms on behalf of Canada to verify that. So it's something that's obviously, I went in front of the committee, in front of the parliament, and we had discussions around this exact item. There is another audit that's going on right now, and that continues to be so. And there's never ever been any findings to indicate that North West has done anything, but pass on 100% of the subsidy. And to the second part of your question, I'm not sure how familiar you are with the Next 100, but it's all under the preface of trying to create more value for our shareholders. And especially as just recent, we've just undergone on a pretty significant opportunity we feel on offering another level of savings for our customers through our private label program that we're going to be rolling out here over the next number of quarters. And that's all under the same premise of bringing down the cost of products, food particularly within the communities that we serve. So there I can provide you that bit of information just to help you out with your research.
Sarah Smellie: But can you answer the question directly? Like are stores hiking prices when this funding rolls in?
Daniel McConnell: Oh, absolutely not. Sorry, I thought I did answer that. Absolutely not. In fact, my point was that, we're actually looking at lowering prices by bringing in other options and lower cost items under a private label program.
Sarah Smellie: How do you balance your company's drive to create profits when you're also in a position where you're the often the only place that people in remote indigenous communities can buy food?
Daniel McConnell: There is actually a lot of operators that we have competition in most of the markets, a lot of the markets that we operate, and there's lots of options, especially with the mobility and some of the e-commerce platforms that are out there. But given the longevity of how long we have been operating in communities, it's really important that we live by our values. And that number -- one of those values is trust, to be a trusted community value store. And so we work really hard with leadership of the community to create partnerships, to give back, to create economic opportunities for other indigenous leaders within the communities and outside of the communities to try and create an economic reconciliation scenario so people can be a part of the success of North West as we -- every day the employees that come to North West do so in order to make a positive impact in the communities we serve. So yes, that's -- really it's just all the things that we do lend towards providing a strong value to the customers within the communities that we serve.
Sarah Smellie: Okay. And what do you say to growing frustration among people in those communities who feel like your prices are increasingly unaffordable?
Daniel McConnell: I say that we are absolutely working very hard every day and advocating on behalf of our customers to try and provide better service and fair prices on a regular basis. Like I said, if you took a look into some of the strategies that we're employing here at North West, they're all catered towards doing just that. And we share the frustrations. I know there's been a lot of inflation all throughout and all areas of expenditures in Canada. And I mean, we all share those frustrations, but it just invigorates people at North West to work even harder to try and bring down that cost of living within the communities.
Sarah Smellie: Okay. Thank you.
Daniel McConnell: All right. Thank you.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting over to Mr. [McDonald] (ph). Please go ahead.
Daniel McConnell: All right. Well, thank you, operator. And on behalf of the entire North West team, I just wanted to wish all of our shareholders the best holiday season and I look forward to our fourth quarter and annual results call in April.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. Thank you for your participation.